Operator: Good morning. My name is Carmen, and I will be your conference operator today. I would like to welcome everyone to The Chemours Company Fourth Quarter 2025 Results Conference Call. Currently, all participants are in a listen-only mode. A question and answer session will follow the conclusion of the prepared remarks. I would like to remind everyone that this conference call is being recorded. I will now hand the conference over to Brandon Ontjes, Vice President, Head of Strategy and Investor Relations for The Chemours Company. You may begin your conference. Good morning, everybody.
Brandon Ontjes: Welcome to The Chemours Company Fourth Quarter 2025 Earnings Conference Call. I am joined today by Denise M. Dignam, The Chemours Company President and Chief Executive Officer, and our Senior Vice President and Chief Financial Officer, Shane W. Hostetter. Before we start, I would like to remind you that comments made on this call, as well as in the supplemental information provided on our website, contain forward-looking statements that involve risks and uncertainties as described in The Chemours Company’s SEC filings. These forward-looking statements are not guarantees of future performance and are based on certain assumptions and expectations of future events that may not be realized. Actual results may differ, and The Chemours Company undertakes no duty to update any forward-looking statements as a result of future developments or new information. During the course of this call, we will refer to certain non-GAAP financial measures that we believe are useful to investors evaluating the company's performance. A reconciliation of non-GAAP terms and adjustments is included in our press release issued yesterday evening. Additionally, we posted our earnings presentation on our website yesterday evening as well. With that, I will turn the call over to Denise M. Dignam.
Denise M. Dignam: Thank you, Brandon, and thank you, everyone, for joining us. During today's call, I will begin by discussing a few recent developments across The Chemours Company in addition to highlights from our recent performance. I will then turn it over to Shane who will provide details around our outlook for 2026 and key drivers for the full year ahead. Finally, I will provide updates on our meaningful progress against our Pathway to Thrive strategy before taking your questions. First, as we shared in January, we have reached an agreement to sell our Kuan Yin site. Since the shutdown of our titanium dioxide operations at this facility in 2023, we have been actively decommissioning the site and preparing to sell the remaining property. I am happy to report that the estimated net proceeds of $300,000,000 we expect to receive from the land sale will make a significant impact in reducing our outstanding debt and support our continued progress towards lowering our target net leverage below three times. I am proud of our team’s effort to get us to this point. Additionally, I want to welcome Mike Foley as the new Business President of TT. In joining The Chemours Company, Mike brings extensive leadership experience in the chemicals industry running multiple business units with experience centered on operational excellence. As an established leader, I am confident that Mike will continue to drive improvements in our titanium dioxide business, staying true to our value-based commercial strategy, strengthening reliability across our asset base, and advancing our long-term cost position initiatives. Turning to our fourth quarter results. We are pleased with the robust cash flow generated and the ability to drive sales performance within our expectations. Net sales met expectations largely due to TSS achieving record sales driven by continued strong Opteon adoption and consistent commercial performance across all divisions. We posted solid earnings overall. However, for the APM business, due to near-term end market weakness, we shifted our focus to promote cash flow as the quarter progressed, resulting in certain noncash charges and the sale of certain products to reduce inventory levels. These decisions enabled us to make meaningful steps towards driving cash flow while setting a foundation for improved earnings as we get deeper into 2026. While these incremental costs resulted in us just missing the low end of our earnings range, we are pleased with our ability to generate strong quarterly free cash flow of $92,000,000, which we believe is more reflective of The Chemours Company’s longer-term cash generation potential to drive value for our shareholders. With this background, I would like to provide some additional context on our business level performance. Our TSS business reported a fourth-quarter record for Opteon sales with double-digit growth of 37% compared to the prior-year quarter, in line with our expectations. Overall, TSS’s top line increase was primarily due to higher pricing and moderate volume increases, supported by a favorable mix for Opteon refrigerant blends, driven by the U.S. AIM Act residential HVAC equipment transition and opportunistic sales for certain Freon refrigerants. This could not have been achieved without the TSS team’s excellent commercial execution, which resulted in new sales opportunities and efficient use of our quota allowances. TSS had record annual sales in 2025, despite a year with subdued shipped HVAC units in the residential stationary OEM market. Additionally, these efforts led to overall annual Opteon refrigerant growth of 56%, making up 75% of total refrigerant sales in 2025, up from 56% the year before. TSS’s top line success helped to drive annual adjusted EBITDA margins of 32%, up from 31% in the prior year, despite additional costs of approximately $22,000,000 in liquid cooling and next-generation refrigerants R&D investment over the same period. Moving to TT. In the fourth quarter, the TT team had strong execution, with our top line performance results coming in line with our expectations and our adjusted EBITDA remaining ahead due to stabilized pricing and cost performance. While we continue to operate in a more tepid global market, experiencing volume seasonality in certain key markets, we have maintained a strong resolve in implementing our pricing efforts across all key end markets. Due to these efforts and our pricing announcement in December, we experienced pricing stability between the third and fourth quarter, laying the groundwork for continued pricing strength in 2026. We are confident in our conviction of our value-based commercial strategy and remain resolute in this approach. Our overall objective to drive improved operational and longer-term cost performance remains unchanged. Consistent with that, as we shared in the third quarter, we have calibrated our production expectations to be more closely aligned with anticipated market conditions, and we continue to challenge what we can control, including improvements on all our costs, while continuing to prioritize cash flow generation in the business. As part of our recent strategic portfolio management initiatives for TT, we commenced a restructuring of our mining in early January, including the temporary idling of one of our mines in North Florida and transitioning to a third-party earthmoving contractor. This revised approach will support our overall cost efforts and promote improved cash generation. Shifting over to APM. While our cash flow driven changes weighed on our earnings results this quarter, the decisions we made strengthened our cash generation even as we navigated headwinds in certain cyclically sensitive end markets, notably in auto and industrial construction, which we believe will stabilize as we get into early next year. Entering 2026, the APM business in Performance Solutions observed a strengthening order book, particularly within the semiconductor sector, which shows preliminary signs of recovery. Additionally, growth was noted in data center materials and other key end markets. In January, Washington Works, a key manufacturing facility, experienced a disruption that necessitated a temporary shutdown, limiting our capacity. This event was traced to equipment affected by a local utility service outage in August, which is integral to our fluoropolymer supply chain and involves complex chemical processing technology. Although operations have now resumed, the unplanned outage coincided with challenging winter weather, resulting in delays to the restart. Our strategy has always included additional work on these assets planned for 2027. Despite less than ideal earlier timing, these efforts are critical to ensuring improving demand, long-term reliability, and establishing operational stability to meet for APM’s Performance Solutions products. Lastly, I would like to briefly address corporate level performance, which demonstrated a significant decrease in expenses compared to the same quarter last year. This cost reduction reflects ongoing efforts in expense management and underscores the progress achieved through our operational excellence pillar as part of the Pathway to Thrive strategy. With that, I will turn it over to Shane to walk through our first quarter outlook and key drivers for the full year 2026.
Shane W. Hostetter: Thank you, Denise, and good morning, everyone. As was shared in the earnings materials available on our investor website, I now would like to discuss our expectations for the first quarter and factors that will drive our business as we look ahead. Beginning with TSS. For the first quarter, we project net sales to rise sequentially in the mid-20s to 30% range, primarily attributable to favorable seasonal trends and continued growth in Opteon refrigerants, where we are also forecasting a sequential increase of 30% to 40% in the first quarter. This sustained double-digit Opteon refrigerant expansion is expected to be driven by the continued regulatory adoption associated with government mandates under the U.S. AIM Act. Adjusted EBITDA for TSS is also anticipated to grow, ranging from $170,000,000 to $185,000,000, also driven by seasonality and the continued transition to our Opteon stationary refrigerants. As we look beyond the first quarter, we expect year-over-year double-digit growth for Opteon refrigerants to continue into 2026, but will then begin to normalize to more typical seasonal patterns in the second half of the year as year-over-year comparison points will reflect the regulatory-driven market demand we saw in late 2025. Additionally, we believe that pricing strength stemming from favorable pricing mix for Opteon blends and opportunistic pricing in Freon refrigerants will continue into 2026. Also, we expect benefits from cost-out efforts throughout 2026, including our recent Corpus Christi capacity expansion, which will be partially offset by increased raw material costs, primarily due to R-32, a key component of our stationary refrigerants. Overall, we anticipate that the confluence of these factors will underpin strong sales and earnings growth for TSS in 2026, with consistent overall margins compared to that of 2025. For our TT business, we expect sequential net sales to decrease in the low to mid-single digits percentage range in the first quarter. In our recent reporting, we split out our mineral sales from our TiO2 pigment sales to provide greater visibility in line with recent strategic decisions. In the first quarter, we anticipate that our mineral sales will be down 60% sequentially, driven by sales timing and the impacts from the recent changes in mining efforts. While our TiO2 pigment sales are expected to be down in the low single digits. The slight anticipated decline in TiO2 pigment sales during the first quarter is due to weaker seasonal volumes in non-Western markets, which will offset the volume increases we expect in Western markets, supported by our global pricing efforts as highlighted in the previous quarter across all of our regions. Our global pricing improvement is driven by our pricing in December, which we have seen signs of strong adoption globally, as we continue to demonstrate our value-based commercial strategy within our TT segment. It is our expectation that overall, average global pricing for TiO2 pigment should be generally in line with the prior-year quarter. For the first quarter, we expect TT’s adjusted EBITDA to be between breakeven and $5,000,000. This low level of EBITDA is due to the timing of mineral sales, paired with an additional approximately $17,000,000 of net costs we expect in the quarter tied to inventory and ore mix, as well as overall impacts from low plant utilization. The combined force of these near-term impacts is expected to result in higher net cost for the quarter. However, TT is positioned to grow earnings and cash flow during the year. Beyond the first quarter, we see a year where our top line will be driven by positive TiO2 price trends across regions and stabilized volumes in Western markets, followed by non-Western markets as the year progresses. For pricing, we have already seen expected increases start to take form through stabilized Q4 pricing, which has reflected growth into 2026. Our portfolio and operational initiatives will continue to drive improved earnings as the year progresses, with a clearer realization of important cost savings efforts becoming more visible, further underpinned by improved cash generation. Now for our APM business. In the first quarter, we expect net sales to decrease in the high-teens percentage range sequentially due to sustained market weakness combined with customer timing and constraints from the Washington Works outage. Adjusted EBITDA is projected to range from breakeven to $5,000,000, primarily due to the previously referenced outage at the Washington Works facility. This outage is expected to result in a negative impact of $20,000,000 to $25,000,000 for the quarter, with most of this effect attributable to restricted sales associated with the facility’s interruption. As Denise noted earlier, the plant has returned to normal operations and will be a key contributor to the improved earnings we anticipate in APM throughout the rest of 2026. Specifically, we see a return to more profitable quarters for APM after Q1 2026 with progressively improved sales and earnings as we move further into the year. While the overall top line will include lower net sales due to closure of the Advanced Materials SBS cap line in 2025, we plan to replace those lost sales with an increase of specialty-focused Performance Solutions products with higher bottom line contributions. Although we are facing constraints from our outage, demand remains strong in the semiconductor and data center end markets, which are driving current and anticipated sales growth of our Performance Solutions products. These are sectors where we see tremendous inroads for APM’s chemistry to help enable the growth and adoption of artificial intelligence across the global economy. While we expect some negative cost effects to carry over slightly into our second quarter, we plan to counter these through increased operations at our Washington Works site and the increased realization of existing and continued cost reduction efforts as production improves. While the year did not begin as we had planned, we are confident that APM will finish strong in 2026 as we work to recover lost volume, run our plant circuit at elevated levels, and continue to drive commercial and operational excellence. Through these initiatives, we anticipate adjusted EBITDA to be slightly higher than 2025 levels, while cash generation will see meaningful improvement. On a consolidated basis, we anticipate our first quarter net sales to increase in the range of 3% to 5% sequentially, with consolidated adjusted EBITDA expected to range between $121,000,000 and $150,000,000. Also, we anticipate corporate expenses to range between $45,000,000 and $50,000,000. Our capital expenditures for the first quarter are expected to be in the range of $50,000,000, with free cash flow reflecting a use of cash not to exceed $100,000,000. For the full year 2026, at a consolidated level, we anticipate overall net sales growth to be between 3% to 5%, and adjusted EBITDA to range from $800,000,000 to $900,000,000, primarily driven by increased TSS and APM Performance Solutions demand, expected pricing strength in TT, and further benefits of more pronounced cost realizations in TT and APM throughout the year. Additionally, we expect capital expenditures to be between $275,000,000 and $325,000,000 with free cash flow conversion to be above 25%, supported by improved earnings, and working capital improvements that we expect to realize as the year progresses. As we advance into 2026, we remain committed to executing our Pathway to Thrive strategy and are focused on prioritizing a platform of robust cash flow generation annually going forward via various initiatives across all areas of the company. We view these cash flow efforts to be based in driving clear performance goals across our cash conversion cycle, which we are already seeing take hold. These initiatives will take time to fully implement, but we believe improved cash generation in 2026 serves as a starting point where we anticipate further free cash flow expansion in the future. Through these efforts, coupled with approximately $300,000,000 in net proceeds from the sale of our Kuan Yin facility, which will be used to reduce our debt, we anticipate our net leverage ratio to be below four times adjusted EBITDA by the end of 2026. This is a key milestone that further positions us to achieve our long-term objective of a net leverage ratio below three times adjusted EBITDA across economic cycles. Given these perspectives on the first quarter and full year 2026, I would like to now hand the call back over to Denise to share her thoughts and perspectives on our strategic execution under Pathway to Thrive. Thank you, Shane.
Denise M. Dignam: As we look ahead to 2026, it is important to build upon the substantial strategic progress achieved in 2025. Our Pathway to Thrive strategy remains central to how we make decisions, allocate capital, and conduct our business operations, and I believe our team has demonstrated notable success in delivering results across every pillar of the strategy. Starting with operational excellence, we continue to advance disciplined work in driving cost out and making meaningful step-change improvements in how we operate. We fulfilled our commitments for 2025, delivering at least $125,000,000 of gross controllable cost savings. While these efforts have been more visible at the corporate level and through SG&A, we believe that this work will become more clear as operational levels improve, primarily across our TT and APM businesses this year. In the case of TSS, our focus on operational excellence and controllable cost improvements has been concentrated around the completion of capacity expansion efforts at Corpus Christi. This expansion represented a sizable capital in 2024 and has established a foundation for TSS to further vertically integrate and reduce reliance on third-party YF purchases. While this provided benefits in 2025, over time this will provide a substantial cost upside for TSS in support for increased customer demand in connection with the global low-GWP transition. More recently, we formally rolled out the Chemours Business System, which we have established to embed lean principles to reduce waste and drive increased productivity across the organization. Our team is energized by this effort, which we are already actioning across our manufacturing circuit. Our enabling growth pillar is where we continue to demonstrate the strength of our market positions and the value of our innovation. As we have shared, TSS delivered another great year, breaking quarterly records as adoption of our Opteon refrigerants accelerates. We also made meaningful progress towards commercializing our two-phase liquid cooling solution, including the qualification of our fluid by Samsung Electronics and the start of a manufacturing agreement with Navin Fluorine, where we are targeting initial commercial production in 2026. Our liquid cooling and next-generation refrigerant growth opportunities reflect important ventures, serving as long-term growth opportunities where we look to continue to invest at a rate of roughly $5,000,000 per quarter. These ongoing investments also contribute to expanding our overall presence in high-value data center and semiconductor end markets, where we are experiencing sustained growth and continued order book strength in APM’s Performance Solutions products, particularly in high-purity PFA sales. Furthermore, we anticipate that TSS double-digit data center growth achieved in 2025 will persist and serve as a catalyst for increased refrigerant sales. Across our businesses, we are sharpening commercial effectiveness and investing selectively where our differentiators position us to win and support long-term growth. Turning to portfolio management. We made decisive progress across the portfolio to drive significant economic value to The Chemours Company. Outside of the Kuan Yin site sale and the restructuring of mining efforts in our TT business, we continue to advance our European asset review, which will extend into 2027. After completing the APM SBS Capstone business exit in 2025, we are now announcing the closure of our Villers-Saint-Paul site in France, originally intended for additional hydrogen development. This decision aligns our industrial operations with current market demand. Moving now to the significant progress made under our strengthening the long-term pillar, which includes reaching a proposed judicial consent order with the State of New Jersey. This milestone provides greater clarity for our stakeholders and reflects our continued commitment to advancing measurable progress in resolving legacy liabilities, in close partnership with our MOU partners. With responsible manufacturing at the center of how we deliver essential chemistry, we also reported strong progress against our 2030 Corporate Responsibility Commitment goals. At the same time, independent government-level assessments, including from the EU Industry, Research and Energy Committee and the U.S. Department of War, reinforced the essential role fluoropolymers and F-gases play across critical industries. Building on Shane’s remarks, our recent efforts have positioned us to generate more cash, with our previous working capital headwinds clearly behind us. Going forward, we aim to grow earnings, improve free cash flow conversion, and continue deleveraging. As we close out 2025 and look ahead to our opportunities in front of us, I want to emphasize that The Chemours Company is focused on executing with discipline across every pillar of Pathway to Thrive. We believe by remaining dedicated to doing the hard work now, it will provide strong returns to our shareholders through long-term stable value creation. The progress we have made gives me great confidence in our trajectory. I want to thank our employees for the focus, resilience, and commitment they have demonstrated throughout 2025. With the talent, technology, and portfolio we have today, and the clarity of strategy guiding us, I am confident in our ability to deliver for customers, communities, and shareholders in 2026 and beyond. Thank you for your continued support. We will now open for questions. Thank you so much. As a reminder, to ask a question, press 11 on your telephone and wait for your name to be announced. To remove yourself, press 11 again. One moment while we compile the Q&A roster. First question comes from Pete Osterland with Truist Securities. Please proceed.
Pete Osterland: Hey, good morning. Thanks for taking the questions. I just wanted to start on the TT segment. Could you share some more detail on the assumptions for TiO2 volume growth that are embedded in your 2026 guidance? What do you expect the global industry to grow volumes at this year? And how would you expect your volume growth to compare to the industry average?
Denise M. Dignam: Sure. Hi, Peter. Thanks for the question. You know, I would say our outlook is that demand is stable, and there are not major demand triggers. Our outlook is really based on, and we announced a price increase in December. We have seen, I will say, strong yield of that price increase. We talk about flat pricing from Q3 to Q4, flat year-over-year pricing as we head into Q1. We feel really good about that. So that is how we see it progressing, stabilized demand with our pricing power.
Pete Osterland: Great. Thanks. And then just switching gears, I just wanted to follow up on your comments on your legacy liabilities. Do you have a line of sight for meaningful progress towards resolving what you have left during 2026? Any key items or dates to be watching out for this year that you could share?
Denise M. Dignam: Sure. Yes. We made significant progress in our fourth pillar, strengthening the long term. We are really proud of the work that was done with New Jersey. It really laid a framework for how, and hopefully you can see how, we are going to progress going forward. The two other areas where we continue to make progress are at our West Virginia facility, as well as in North Carolina. So I would expect to hear additional information relative to those facilities as we progress through the year.
Pete Osterland: Great. Thanks very much.
Denise M. Dignam: Thank you. Thank you. Our next question comes from the line of John Roberts with Mizuho. Please proceed.
John Roberts: It seems like there are a lot of mix effects running through the APM segment. Maybe you could peel apart some of the different end markets there to let us know how much some are down and where some of the strength is. Yeah. Thanks.
Denise M. Dignam: Thanks, John. I mean, as we said in my prepared comments, things like auto, industrial production, and construction are down to flat. But there is a real opportunity in our Performance Solutions portfolio of products. If you think about PFA and the expansion that we did in our Teflon product line, there is a lot of demand related to the AI surge and the buildout of data centers, which is also building out the semiconductor space and all of the demand for additional memory that those chips will need. So it is really, I would say, in that area, really a pull from the AI side.
John Roberts: And if I, my understanding is there is still some more maintenance to be done in 2027 on Washington Works. Why not pull all of the 2027 maintenance into whatever downtime you have here in March 2026?
Denise M. Dignam: Yes. Actually, thank you for the question. We have regular turnarounds, so that is something that happens every three years at our site. We had already had that planned for the beginning of next year. We actually pulled all the maintenance related to the situation, the disruption in January, forward. So we have actually taken scope out of that turnaround. There is still more work to do. It is just a regular turnaround. But yes, we have pulled that forward. Our decision was we wanted to have really reliable operations and to make sure that the particular issue that hit us last summer did not continue to pull us down. We really wanted to make sure we had stable operations. So I would call the turnaround more of a tune up versus significant maintenance work that would drive stability.
John Roberts: Thank you.
Denise M. Dignam: One moment for our next question. It comes from Arun Shankar Viswanathan with RBC Capital Markets. Please proceed.
Arun Shankar Viswanathan: Great. Thanks for taking my question. Hope you are well. I guess my first question is just on the Q1 and the full-year guide. So midpoint for Q1 is $135,000,000. It looks like the full year midpoint is $850,000,000. Maybe you can just talk a little bit about what are bridge items as you move into Q2. I imagine, obviously, there is seasonality for both TSS and TiO2 that is pretty pronounced in Q2 and Q3. But I guess I am just curious what else we should think about. There were some disruptions that you had last year in the middle of the year as well. Obviously, is it your assumption that those do not repeat? Maybe just help us understand how you plan to see that uplift from, say, the $135,000,000 to maybe a $200,000,000 number or so for the middle of the year? Thanks.
Denise M. Dignam: Thanks, Arun. Yes. We have full confidence in our full-year guide. As I said in the prepared comments, we expect earnings growth in all three of our businesses. I am going to turn it over to Shane to give you a bit of the walk.
Shane W. Hostetter: Hey, Arun. Yes. So specific to, you got the midpoints right in Q1 and year-end guide. And then really as we look to Q2, just thinking through what happened in Q1, we are looking at low ranges of zero to five in TT and APM. That is inclusive of some, what I will call, unusual items. Specific to APM, we had the Washington Works outage of roughly $20,000,000 to $25,000,000 in impact. And then for TT, we had roughly $17,000,000 of inventory and really mix areas around the ore. So as you think about that, with the midpoint of the guide in the first quarter, the $40,000,000 in addition to that one-time items going into the second quarter is a good start off. Then, as you pointed out, it is really seasonality. It is really strength in our refrigerants and Opteon business. It is getting the price in effect that Denise had earlier talked about in TT and continuing that momentum, as well as pricing over TSS. We are going to continue to control what we can control across each one of our businesses and getting cost out across that side, which is going to progress as the year goes on as well.
Arun Shankar Viswanathan: Okay. Great. Thanks for that. And then as a follow-up, on the free cash flow, you noted that, obviously, your team did a lot of good work in Q4 to harvest some of that, especially in APM. Could you just maybe walk us through, I guess, Denise, you may have mentioned that $92,000,000 is more reflective of the quarterly run rate of cash flow generation. So is it also the implication that you feel comfortable that free cash flow could eclipse $300,000,000 or $350,000,000 as you go through the year? Thanks.
Shane W. Hostetter: Yes, Arun. Why do I not take that one? Yes. First of all, very proud of the team and what we have done at the end of Q4, ending the year, driving free cash flow over our high end of the range. As we look ahead, Denise talked about the normalization, thinking through what the cash generation capabilities of this business are. We are really thinking that as reflective of a full year. You would probably know we are seasonal as it relates to working capital. And I mentioned in my script that in Q1, we do not anticipate over a $100,000,000 of outflow, but we do anticipate an outflow in Q1 given working capital seasonality. But for the full year, we wholeheartedly stand by the above 25% free cash flow guide, and we feel comfortable in attaining that. So really excited for the capabilities of the team and really driving through cash conversion, through unlocking further working capital, and really hitting the mark on earnings to generate that cash in 2026.
Arun Shankar Viswanathan: Thanks a lot.
Denise M. Dignam: Thank you. Our next question comes from the line of Patrick Duffy Fischer with Goldman Sachs. Please proceed.
Patrick Duffy Fischer: Yes. Good morning, guys. First question is just on TT. Can you walk through the three geographies that have some antidumping activities going on, India, Brazil, and Europe? And just what have you seen in those areas already from those antidumping actions, and what do you think is still left on the come for the Western players?
Denise M. Dignam: Hey, Duffy. Thanks for the question. I mean, we see that there are benefits from the antidumping duties. If you look at Brazil, we see really high duties, really good market for us out of our Mexico facility. So we feel very good about that. India, as you know, there has been a little bit of back and forth. We are confident that those duties are going to come back, but it is just a process that has to come through. We have seen in Europe that, obviously, we have had some uplift in Europe. There have been some currency changes since the dumping went in, which gives some benefit to Chinese producers, but it is not anything that is going to dramatically change our view of Europe.
Patrick Duffy Fischer: Fair enough. And then, jumping to TSS, can you walk us through what impact has the bringing online of Corpus Christi been, either increased costs as it is ramping? And then what is left as far as benefit? Is that plant fully filled out?
Denise M. Dignam: Yes. So what we talked about before with TSS is that it was going to be a two-year ramp. You could see last year, we talked about improvement in margin. That comes from cost out as well as price. So we started seeing some improvement last year. The second half of that facility will be ramping up this year. So we will continue to see improvement there. The technology we have is the lowest cost technology in the world. So we feel really good about the tailwinds that we are going to get from that facility.
Patrick Duffy Fischer: Great. You guys.
Denise M. Dignam: Thank you so much. Please proceed. Our next question comes from the line of Joshua David Spector with UBS.
Joshua David Spector: Hey, we have James Cannon on for Josh. I wanted to touch back on the ore mix impact that is flowing through in TT this quarter. I know there is some noise around some legacy purchase contracts, and I was wondering I think the last one of those continues to run through this year or next year. Is any of that something that we should be modeling continuing, or is it something that should be contained in the first quarter?
Denise M. Dignam: Yes. I would say that for the first quarter, the change in ore mix was really related to the winter interruption and the need to consume higher-grade ore. You are right, we had two contracts, long-standing contracts that were unfavorable. One is completed. One is unfinished, and we are working through the second contract right now. We have laser focus on our input cost in the TT business, so you will continue to see that improving over the year. We also talked about our restructuring that we have done in our mines by taking down one mine, all aimed towards lowering our input costs. One of the primary costs that go into our plants and actually a competitive advantage for us.
Joshua David Spector: Got it. And then on the just to follow up on the Freon side, it seemed like you called out some opportunistic sales that drove a pretty solid sequential in the quarter. My math gets me to a first-quarter guide that has continued growth there. Can you just talk through what you expect on that side of the business without the transition happening this year and no step downs as far as I am aware?
Shane W. Hostetter: Yes. Thanks for the question. Pretty happy with some of the tailwinds we saw in the fourth quarter related to Freon business. As we look ahead, in my script, I mentioned really thinking through the tailwinds of pricing around both Opteon and Freon, and we can look at 2026 and see that continuing. We are really proud of the execution on the Opteon side and Freon side in 2025, and we will continue to execute and grow in both next year.
Joshua David Spector: Great. Thank you.
Denise M. Dignam: Thank you. Our next question comes from the line of Hassan Ijaz Ahmed with Alembic Global Advisors. Please proceed.
Hassan Ijaz Ahmed: Morning, Denise and Shane. TT. You know, just wanted to revisit some of the questions asked earlier on, particularly as it pertains to you guys’ volumes. You obviously reported volume declines in Q4, and the volumes are not looking that great for Q1 as well. I am just trying to think through the antidumping duty side of things, the four countries or regions in particular where those antidumping measures have been announced. If I sit there and think through, for lack of a better way of putting it, the volume that is up for grab, it is around 800,000 tons. What is baked into that $800,000,000 to $900,000,000 EBITDA guidance that you have given in terms of any potential antidumping-related market share gains for you?
Denise M. Dignam: Hassan, thanks for the question. When you think about us in TT for the year, we are really focused on executing on our price increase. You can figure it out, put the pieces of the puzzle together. We are really focused on our pricing. Our pricing was a global price increase, all regions. There is no mix impact. So while we talk about the duties and they clearly have been helpful, we are really focused on delivering value and creating value for this business through our pricing efforts.
Hassan Ijaz Ahmed: But any guidance in terms of, the market may typically grow at 2% to 3%? Will you be in line with the market? Will you be better than the market in terms of volume growth?
Denise M. Dignam: Yes. We are projecting a stable market. I do not think anyone sees any big reason to expect significant growth. Again, we are focused on value and our pricing with stable volumes. Maybe I will take it up a level too. We have both talked about seeing growth in our businesses throughout the year. We are super proud of what was accomplished with our TSS business. We are coming off a record quarter, a record year, strong foundation. If you look at what we have been able to do, we have a leading market position with OEMs and the aftermarket, and we are really close to our customers. We are very well positioned for growth this year in TSS. Additionally, as we talked about with APM, as we look at the AI trend, we also see great opportunity for growth there as well.
Hassan Ijaz Ahmed: Understood. And as a follow-up, Denise, if you do not mind, just sticking to the TT side of things. A lot of folks, you included, had talked about 1,100,000 tons of capacity rationalizations since 2023. Are you still comfortable with that figure? And what are you seeing in terms of potential rationalizations in China on the back of anti-involution?
Denise M. Dignam: Yes. We are still confident in that. Those announcements were made. They are all public. We feel confident in that. As far as additional with anti-involution, we really cannot speak to that at this point. We do not know that we have seen much more than that.
Hassan Ijaz Ahmed: Thank you so much, Denise.
Denise M. Dignam: Thank you. One moment for our next question. Comes from the line of John Patrick McNulty with BMO Capital Markets. Please proceed.
John Patrick McNulty: Hey. Good morning. This is Caleb on for John. I was just hoping you could provide a little bit more color on what would get you to the high end of your range and the low end of your range for the full year.
Shane W. Hostetter: Sure. Thanks, Caleb. As I think about the range of possibilities here, I think it really depends upon a couple things. The high end depends upon market evolution, how the actual economic returns come. If there are further rate cuts, for instance, and that has impacts on the overall market. I would say the other parts on the high end are overall cost out and thinking through where the net inflation and cost improvements go. I would say then finally would be continued pricing side and broader adoption across the businesses. On the low end of the range, continuing to think through the cost inputs, and thinking through if there are additional costs that we are not seeing right now as we evolve throughout the year. On the opposite side of what I just said, if there is less price receptivity going through there. And then the other areas if there is any thoughts around volume depression on the adoption side.
Denise M. Dignam: Yes. Maybe I will just add on to that. We are focused on things we can control. So I would say the market would be the key variable in that.
John Patrick McNulty: Okay. That is helpful. And then for TSS, over the past couple years, you have seen the benefit of the AIM Act and then the HFC transition. Going forward, how do you see the growth algorithm for that business playing out, and especially relative to your previous commentary for mid to high single-digit sales growth over the longer term?
Denise M. Dignam: Yes. Thanks for that question. Coming into the first part of this year, we still see significant growth from the HFO transition, whether it is additional units, the mix of HFC versus HFO units that get sold, as well as replenishing inventory that was drawn down in the fourth quarter. So we see that through the first half of the year. One thing to keep in mind is this is a pretty depressed market when it comes to the residential segment. So as new units are put on and as the housing market picks up, we see substantial growth there. We will continue to grow in line with the residential segment. But the other areas to focus on are our growth in data centers and chillers and some of the other spaces where we—
John Patrick McNulty: Okay. Thanks for the color.
Denise M. Dignam: Our next question comes from the line of Vincent Andrews with Morgan Stanley. Please proceed.
Vincent Andrews: Thank you, and good morning. I just want to follow up on that a little bit. Could you talk about what your residential HVAC customers are doing? It seems like they are reducing production for various reasons. Is that leading to a destock from you? And can you help us understand how much of that mix, how much of your mix that is now versus other parts of the TSS business, whether it is data centers or aftermarket, and how much those are going to contribute this year volumetrically?
Denise M. Dignam: Yes. Thanks for that, Vincent. First of all, I want to say that we have hopefully established a lot of credibility in this business to this point and what we see going forward. We have laid out what we believe is going to happen as we enter this year. We do see our customers’ inventory was drawn down in the fourth quarter. So we do see some of that coming back in the first half of the year, as well as the HFC to HFO transition of the mix of what gets sold to customers. You also see the aftermarket that comes with those installations. We see solid growth, especially in the first half, double-digit growth for the space.
Vincent Andrews: Okay. And, Shane, if I could ask you on the cash flow, the target to do at least 25% conversion this year, what are the things that are inhibiting you in 2026 from doing better than that, from getting up to, say, 40% or 50% conversion? I noticed there were some line items for full year 2025, whether it was an inventory build or your payables went down a couple hundred million dollars, and also a fair amount of movement in accrued liabilities and other liabilities, which I know is below the working capital line. But maybe you can just help us reconcile some of the important lines on the cash flow statement this year and what is going to help you year over year and what is going to inhibit you.
Shane W. Hostetter: Yes. Thanks, Vincent. First, we put out that at least 25%, and I really feel comfortable with that, and we will obviously strive to be more than 25% as we go forward into 2026. Specific to the areas that I would keep in mind, the story a lot is around inventory and getting our DIOs improved. Earlier, there was a question around contracts in TT that are going to wane through the year. Unfortunately, that is a headwind coming into the year because that is mandated high-grade ore that we have to fight against. But we feel very confident, even though we will have additional ore put on, that throughout each one of the businesses we will have inventory reductions outside of that. So I think inventory is a big story. I think navigating, as you just mentioned, other areas around cash conversion and driving up DSO, as well as being efficient on the collections, is certainly areas that we will focus on. Coming forward, I really feel that the CapEx in this company is going to increase year over year, but that is really around, we talked about planned maintenance activities or TARs in the year. So that is going to impact our free cash flow in a given year compared to last year as well. All in all, we are controlling what we control, really feel confident in that 25% number, and really will drive ahead to get it even more into the year.
Denise M. Dignam: Thank you. One moment for our next question. It comes from Jeffrey John Zekauskas with JPMorgan. Please proceed.
Jeffrey John Zekauskas: Thanks very much. In the titanium dioxide segment, actually, your revenues in North America and in Europe were flat to up. The issue was in Asia, where for the year, your revenues went from roughly $660,000,000 to $465,000,000. So you are down 30% in Asia. What happened in Asia? And where is that business going?
Denise M. Dignam: Yes. As we have talked about, our strategy is we are focusing on the fair-trade markets. In India in particular, there was a trend that was happening for us as we moved towards the fair-trade market. In India, there was a pullback on the tariffs. As I said, we are confident it is going to come through, but I will say it is temporary.
Jeffrey John Zekauskas: Okay. So secondly, there is a focus on free cash flow generation. If you look at The Chemours Company from 2019, your inventories used to be $1,000,000,000 and now they are $1,500,000,000, and even this year they are up 7%. And your revenues over that from 2019 to 2025 were up about 5%. Inventories are up 50%. What is all that inventory? Is it titanium dioxide? Is it something else? Why do your inventories keep growing, and what can you do about it?
Shane W. Hostetter: Thanks for the question, Jeff. I think certainly, obviously, we are carrying more inventory than we need right now, and we will own that. When you look back to 2019, we are a different business right now as we think about TSS with Corpus Christi up and running and other areas, so you cannot really look at the past trends. But I own up to the fact that inventory is an area that we are concerted to reduce. Certainly, as I mentioned earlier on the call, we have contracts, take-or-pay contracts with a high-grade ore that it is areas that we do not necessarily need, but we can use, so that some of that is put on there. But I would say across each one of the businesses, we are carrying too much inventory, and we have stretch goals in 2026 and beyond to get it back to more normalized levels.
Jeffrey John Zekauskas: Right. Thanks very much.
Denise M. Dignam: Thank you. We have reached the end of our Q&A session. Thank you for joining The Chemours Company Fourth Quarter 2025 Results Conference Call. You may now disconnect.